Operator: Good afternoon. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Resideo 2025 First Quarter Earnings Call. [Operator Instructions] I would like to hand the conference over to your host today, Chris Lee, Global Head of Investor Relations. You may begin your conference.
Christopher Lee: Thank you, Eric. Good afternoon, everyone, and thank you for joining us for Resideo's First Quarter 2025 Earnings Call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; Mike Carlet, our Chief Financial Officer; Rob Aarnes, President of Resideo's ADI Global Distribution business; and Tom Surran, President of Resideo's Products and Solutions business. We would like to remind you that this afternoon's call contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identified the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. In addition, we will discuss non-GAAP financial measures on today's call. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from, our GAAP results. A reconciliation of GAAP to non-GAAP financial measures is included in our earnings press release and earnings presentation, which are both accessible on the Investor Relations page of our website at investor.resideo.com. Unless stated otherwise, all numbers and results discussed on today's call other than revenue are on a non-GAAP basis. With that, I will turn the call over to Jay.
Jay Geldmacher: Thank you, Chris, and thanks to everyone for joining us today. On today's call, I will briefly cover Resideo's quarterly performance and then share our perspectives on tariffs and how Resideo is executing through this unpredictable macroeconomic environment before handing off the call to Tom, Rob and Mike. As a result of our team's continued execution, Resideo was at or above the high end of the range for all the metrics we provided for our quarterly financial outlook. Total net revenue of approximately $1.8 billion which includes the impact of the Snap One acquisition, grew 19% year-over-year. Total gross margin was 28.9%, up 200 basis points year-over-year. Total adjusted EBITDA grew 23% year-over-year to $168 million. Total adjusted earnings per share grew 34% year-over-year to $0.63. I am pleased with our strong first quarter results that were supported by healthy operating fundamentals. We achieved 6% organic revenue growth year-over-year at our Products and Solutions business segment. At our ADI business segment, we achieved 4% organic revenue growth year-over-year, despite two less selling days in the quarter versus the same period last year and 7% organic average daily sales. Gross margin expansion and EBITDA generation were underpinned by growing operating income dollars year-over-year. Demand for our new Honeywell Home FocusPRO thermostats and First Alert VISTA H series security products continues to be strong and the velocity around new product introduction is accelerating for both Products and Solutions and ADI. Moving on to tariffs, we've all seen the shifts in policy to date. In this fluid environment, Resideo remains agile and we are well prepared to react to any new development. Based on what we know today about tariff policy, we have taken actions in the first and second quarters that have two goals. First, to essentially mitigate the cost impact of any tariffs across both Products and Solutions and ADI. And second, to be well positioned relative to our competition at the current time. Let me walk through each business segment, the potential exposure and the key mitigation actions. In the Products and Solutions business segment, we benefit from having a global manufacturing footprint where regional demands are generally sourced in region. As shown on Page nine of our earnings presentation, for goods sold in the United States, about 90% are produced in our Mexico facilities or sourced from Mexican suppliers. Of the goods source for Mexico, about 98% are USMCA compliant and not currently subject to tariffs. For those goods that are not manufactured or sourced from USMCA compliant sources, we are evaluating bringing production into our Mexico facilities or sourcing from other Mexico manufacturers. It is worth noting that we have a variety of manufacturing facilities globally and are constantly evaluating new sites, both of which gives us optionality as we continue this assessment. We have also communicated a phased price increase to our customers intended to offset the cost impact of the tariffs. In the ADI business segment, determining the tariff impact is more nuanced than Products and Solutions. As shown on Page 10 of our earnings presentation, ADI is exposed to more significant China tariff given its purchasing profile and we cannot predict supplier actions around price. As such, we have taken a conservative approach and estimate a maximum potential impact before any mitigations to be between 2025% of ADI's total cost of goods sold. However, this will be offset by mitigation actions that include the following: ADI has communicated a phased price increase to our customers to offset the tariff cost impact. We have also made strategic inventory purchases and taken commercial actions with our suppliers. In addition to the evolving tariff landscape, we are closely monitoring data points around customer behavior. Customer demand in the first quarter was healthy across both businesses and we saw minimal signs of customer hesitancy or order cancellation. We saw limited indications of customers buying ahead of anticipated tariff related price increases. These data points to date are positive indicators on our current customer demand. As a result of our strong first quarter and the tariff mitigation actions we are taking, Resideo is maintaining its 2025 outlook. We believe our strong execution and proactive approach enables Resideo to manage through the uncertainties associated with this highly dynamic environment for the rest of the year. Mike will speak more to this in his comments. Let me now hand the call over to Tom.
Thomas Surran: Thanks Jay. The Products and Solutions team delivered another quarter of strong operational execution, resulting in year-over-year organic growth and the eighth consecutive quarter of year-over-year gross margin expansion. Products and solutions reported revenue growth of 5% year-over-year and 6% organic growth, which excludes a 1% unfavorable impact from currency. Revenue grew across substantially all our sales channels due to both volume and mix, driven by customer demand for our new products and from price realization. Now let me walk through each of our primary channels. The HVAC channel achieved volume, mix, and price growth in the quarter, driven primarily by continued demand for our recently introduced connected and non-connected Honeywell Home FocusPRO thermostat. A greater proportion of overall FocusPRO sales were from connected thermostats that were sold to a broader set of customers during the quarter. The electrical distribution channel was again strong in the first quarter. Revenues associated with our BRK branded safety products, which are sold to professionals, reached a record high, driven primarily by strong volumes and mix. We continue to see an increase in content per new home and we see rising adoption with a broader set of customers beyond home builders such as property managers. The retail channel continued to perform well in the first quarter, driven primarily by strong quarter sales volumes. Revenue from the first alert safety products grew in the high single digits year-over-year. The FocusPRO thermostat was launched to retail during the quarter and sales related to the FocusPRO are expected to be a bigger contributor to the retail channel in the future. The OEM channel posted a second consecutive quarter of year-over-year revenue growth, driven primarily by the sale of higher priced and more profitable units amidst an improving energy equipment market in both The Americas and EMEA. Revenue in the security channel was down year-over-year. However, the rate of year-over-year decline is abating as evidenced by security sales with one of our largest customers that were modestly up year-over-year. Early sales of the new VISTA series that were sold in the quarter are trending positively. Gross margin for the quarter was 41.4%, up 190 basis points year-over-year. This is the eighth consecutive quarter of year-over-year gross margin expansion, driven by continued efficient utilization of our factories supported by supply chain that we look to continuously improve and from contribution from the sale of new products. We did absorb an immaterial amount of tariff related expense for products prior to the implementation of the USMCA tariff preference treatment. As Jay stated, approximately 98% of product and solutions goods sourced from Mexico and sold in the U.S. are USMCA compliant, which are currently exempt from tariffs. We are excited to continue the cadence of new product introductions. In the quarter, we introduced the First Alert Smart Smoke and Carbon Monoxide Alarm in partnership with Google Nest. Our new connected alarm is compatible with Google Home app and was designed to seamlessly replace Google's expiring Nest Protect alarms. Google Nest passed the baton to Resideo to lead the future of smart home safety through continued innovation. With feedback from our professional customers, we previewed our most advanced cameras and video analytics ever. The First Alert CX4 Camera Series features ultra-high-definition cameras offering 4K sharpness and intelligent viewing capabilities. These cameras will target both the high end residential as well as the small and medium sized business video surveillance market. We have a number of market relevant products in the air and comfort, security and water categories scheduled for launch later in 2025. We are excited for our customers to realize the benefits and value of our forthcoming products, whilst building upon the demand momentum seen for our new product releases in the last six months. I am pleased with the go forward direction of Products and Solutions, an accelerating cadence of new products alongside organic revenue growth and another consecutive quarter of year-over-year gross margin expansion. With that, let's turn the call over to Rob.
Robert Aarnes: Thanks, Tom. The ADI team achieved 29% year-over-year growth in reported net revenue in the first quarter. And after excluding the impact of the Snap One acquisition and an immaterial impact from currency, organic net revenue growth was 4% year-over-year despite two less selling days this quarter versus the same period last quarter. Organic average daily sales grew 7% year-over-year. Organic net revenue growth was driven by strength across commercial product categories, continuing contributions from large accounts and the digital channel. These results were achieved despite an increased number of store closures due to weather in January and February. Strong customer demand in the latter half of the quarter offset both the lower number of selling days and increased closure days. From a product category perspective, we saw solid growth year-over-year in multiple categories with notable contributions from the commercial security, professional audio video, and networking product categories, partially offset by a low single digit percentage decline in the residential audio video category due primarily to a soft US residential market. Organic e-commerce net revenue grew 15% year-over-year, achieving another quarter of strong revenue performance and a new record in run rate daily sales average. E-commerce continues to be structurally accretive to the total ADI gross margin and was a bigger contributor to first quarter's total gross profit dollars than last quarter. We continue to invest in providing a leading omnichannel experience that makes the buying experience easier and more streamlined for our customers. Exclusive brands continues to be a strategic priority for the business. Exclusive brands organic net revenue increased 26% year-over-year, while also generating a healthy amount of gross margin dollars in the quarter. The strategic benefit of the Snap One acquisition is evident as the combined team launched almost 100 new products in the quarter. The team also continues to earn industry recognition for our exclusive brands product portfolio. At the Integrated Systems Europe Trade Show, the team took home nine best of show awards with product winners in exclusive brands, including Episode and Triad Speakers, Luma cameras, and Arachnid Switches. The team is also working on some exciting new product launches for the second quarter, including the award-winning Lux by Control4, our fourth-generation lighting control solution, and the new Control4 X4 Interface for smart home systems. The integration of Snap One continues to progress nicely, and we are ahead of our year two synergy goals. Store and distribution center consolidations, which can be complex, are tracking well against plan and we are gaining cross sales momentum. ADI reported 21.6% gross margin in the first quarter, up 360 basis points year-over-year. The execution demonstrated by the entire team directly contributed to the significant year-over-year gross margin expansion. We see additional opportunities to expand gross margins further with margin accretive category mix shifts both domestically and internationally. I've said in the past that our customer first ethos is integral to how we execute operationally. This is especially true in the current macroeconomic environment where delivering an optimized customer experience, breathe loyalty, and profitable customer behavior. As Jay mentioned, we have strong momentum to date. We intend to build upon this momentum generated by our focused execution to continue driving organic revenue growth and margin expansion through 2025 and beyond. Let's now turn the call over to Mike to discuss our first quarter's financial results and 2025 outlook.
Michael Carlet: Thanks, Rob, and good afternoon, everyone. Let's get straight into the quarterly results starting with revenue. First quarter total company net revenue was $1.77 billion, up 19% year-over-year and up 5% on an organic basis, excluding the impact of the Snap One acquisition and a 1% unfavorable impact from currency. Reported total company net revenue was at the high end of our outlook range. Both Tom and Rob spoke earlier about the drivers of organic net revenue growth in their respective businesses. Total company gross margin in the quarter was 28.9%, up 200 basis points year-over-year. The increase was primarily driven by three items, the structural operating efficiencies that we continue to realize in Products and Solutions, the contributions from new product sales at Products and Solutions, and the contributions from the more margin accretive activities at ADI. First quarter total company adjusted earnings per share was $0.63 up from $0.47 from the same period in the prior year. In the quarter, we recorded a larger than normal non-cash charge related to the timing of Honeywell submissions under the reimbursement agreement, which impacted reported GAAP net income and earnings per share, but not our annual cash payments to Honeywell. Total company adjusted EBITDA was $168 million in the quarter, up 23% year-over-year and toward the high end of our outlook range. The primary driver of the increase was the positive contribution from Snap One, partially offset by investments being made in both business segments. Cash used by operating activities was $65 million in line with normal seasonality. Use of cash was primarily related to an increase in accounts receivable due to higher sales and cash outflows for accounts payable, including some early payments to receive supplier discounts. We continue to track toward our outlook of $375 million of cash provided by operating activities in 2025. Now before I provide our financial outlook for the second quarter of 2025 and the full year, let me walk you through some of our market perspectives and assumptions that are incremental to those shared with you last quarter when we first set our 2025 outlook. Starting with our market perspectives, we continue to have a relatively cautious market outlook and we have not substantially changed our view on the macroeconomic environment shared with you on the February 2025 call despite the increased unpredictability in the market. As Jay noted, we assume the USMCA tariff exemption for products manufactured in Mexico will continue. We have included all tariffs currently in force as of today in our outlook. This includes tariffs on Products and Solutions and ADI exclusive brand products primarily imported from China. For ADI third party products we distribute, we have only included impacts where our suppliers have notified us of a price increase. We have not made any assumptions for changes to customer behavior nor associated product volumes resulting from higher prices that likely will be more prominent in the market. And we make no assumptions for foreign currency fluctuations. Our 2025 financial outlook was based on December 31, 2024 currency rates. Now on our outlook, we are reaffirming our 2025 full year outlook. We are not tightening our outlook ranges because of the uncertain and highly dynamic environment we are currently operating in. We are planning to take a phased approach to price increases with ADI progressively raising prices on tariff impacting exclusive brands products starting in the second quarter. Products and Solutions plans to increase prices on non-USMCA covered products starting in the second half of 2025. As a result of these price increases at both ADI and Products and Solutions, we could see upside to the top line. Our goal with the price increases and other tariff mitigation actions is to essentially offset the tariff costs and maintain gross profit dollars. We are initiating an outlook for the second quarter of 2025 as follows. Total company net revenue to be in the range of $1.805 billion to $1.855 billion. Total company adjusted EBITDA to be in the range of $175 million to $195 million dollars and total company fully diluted adjusted earnings per share to be in the range of $0.51 to $0.61. Our earnings presentation includes our outlook ranges along with key modeling assumptions for 2025, which can be found on our Investor Relations website. Let's now open the call up for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ian Zaffino with Oppenheimer. Please go ahead.
Ian Zaffino: Hi, great. Thank you very much. Good quarter. I wanted to kind of zero in on pricing a little bit. Rob, how many understand pricing in ADI and what I mean by that is this environment kind of one of your classic inflationary environments where distributors tend to do well, and you can hear pick up price, which will then help margins, help profitability. So is that the way we should think about, what we're seeing as far as tariff related increases? And then maybe, Tom, I'll kind of ask you this as well. On the P&S side, I know it's a different story, but as you look to get price, do you anticipate any type of demand impact or are you seeing kind of any sensitivity to your ability to maybe push through some of that pricing? Thanks, guys.
Robert Aarnes: Yes. I'll go first. Great question, Ian. That is the probably the question of the day. I would say similar to what we saw in high inflationary environments. I mean, as you heard in the commentary or the opening remarks, we've taken the price increases that we have been given today from our suppliers and we have asked those through in a phased approach. We've also taken number of other commercial actions with our suppliers to first and foremost to be able to completely mitigate all, tariff related impacts both on our third-party business as well as our exclusive brands. So we're we feel that we're in good position today based on what we know. At the same time, we are being very prudent, if not thoughtful, based on the complexity of the environment, multiple variables in play, and have built those you know, built those impacts into our guidance going forward.
Thomas Surran: Yeah. Ian, you all set, Rob? Yeah. Okay. On the P&S side, let's also just go back to scale. Less than 10% of the products coming into America would be subject to tariff, overall. And of those, the majority or a significant portion of them are would require very small price increases. We've been very proactive in reaching out to our customers and explaining what we intended to do with our pricing throughout this whole process. And the magnitude of the price increases for everything excluding China is such that they understand and it I do not expect it to have a material impact and you're talking about an almost immaterial level of quantity of products and even revenue that would be impacted by this. Now in terms of the products from China, those will require a larger, price increase. But again, that's a sub portion of that small portion of the sub 10% that would actually be impacted there. And the largest customer that's impacted by that, we've had communication and they do not expect at this time to have any change in their demand as a result. So for us, we do not expect any material change in our demand.
Ian Zaffino: Okay. Thanks. Okay. And then if I could tie it up to, you know, the top level, Michael, maybe comment on kind of what we should expect from a pricing mix volume perspective for the consolidated business.
Michael Carlet: Thanks. Yeah. I think as we talked about it, we're not in a specific guide to what the price impacts will be. We know the phased approach as they're impacting us. We're holding our guidance in light of the uncertainty. So we feel really good about that. As we mentioned, there could be some upside given the timing of those price increases and any impacts on demand. So as we go forward, we would expect there's certainly be some price action that's going to increase the top line. We think it's relatively small as we sit here today as Tom was just talking at P&S, a little bit more substantial at ADI. It will be phased throughout the rest of the year.
Ian Zaffino: Okay. Thanks for all the color, guys. Good quarter again.
Michael Carlet: Thank you.
Operator: Your next question comes from the line of Erik Woodring with Morgan Stanley. Your line is open.
Erik Woodring: Great. Thanks so much for taking my questions guys and echo the comments. A really nice quarter. Jay, can we just go back and maybe double click on the comments you made about really no buying ahead, no customer hesitancy? I just want to make sure I understand, is that a March quarter comment? Is that relevant for the month of April as well? Can you maybe just double click on things like linearity in the month of April for P&S and ADI. Just so we better understand kind of how things or how buying behavior, if at all, changed in the month of April, where there was obviously a lot of volatility relative to March, where there was just less volatility? And then I have a follow-up, please. Thank you.
Jay Geldmacher: Thanks, Erik. I'm going to let both Tom and Rob respond to their individual businesses. But as I stated in my comments, during Q1, it was minimal as I said. And we saw not -- very little from the standpoint of pull ahead. And, there's a little bit of it there. But the demand seems strong still. And I'll let as I said, I'll let Tom and Rob comment on each one of their businesses, which I think will be helpful from a color standpoint.
Thomas Surran: Yes. Hi, Erik. It's Tom. I'll take P&S first. I think one of the important things was throughout this whole process, we've been communicating with our customers and we've been informing them of what actions we would be taking. And so again, kind of related to Ian's question, we're not having a very large portion of products that are impacted by this. The need for our customers to do some kind of buy ahead is fairly minimal. I mean, there's nothing to buy ahead from. So for us, I would -- there would be some possible, but it would be very de minimis amounts. And we don't see anything in April because, again, right now, where we are, what we're taking on products, and our communication to our customers.
Robert Aarnes: Yeah. So, Erik, we're in a little bit different spot, but, let me let me walk through each piece. So like Tom and P&S business, the ADI business maintains, I mean, really dynamite relationships with our customers, since the tariff the tariffs kind of, you know, noise started happening. We were very proactive in communicating to our customers exactly what the impacts were going to be and we've continued to do so as new information has become relevant to us. And they've been very, very appreciative of that. And what we're hearing is, they're taking those same actions with their customers, obviously. That's what I would say is part one. In terms of your question around buy ahead, in the first quarter, we saw minimal to almost nothing. I mean, really, really immaterial. But we saw demand pick up in a lot of our commercial categories, security, in fact, almost all of our commercial categories, security, professional video -- or professional audio video as well as data communications in March, as I said in my remarks. And then we saw that continue into April and the same result with regards to four of us. We did not -- it was immaterial in the month of April and even to start off May. So I feel cautiously optimistic if you will. When I look at our record backlog, our record amount of project registrations, our record pipeline, it continues to grow and move up to the right. That so far, in addition to mitigating any price increases, we're still seeing a nice demand trajectory in the channel.
Erik Woodring: Okay. That's really helpful. And thank you for all the color from all three of you frankly. If we could maybe take one big step back and kind of forget tariffs and all of this kind of near-term stuff, obviously, they're relevant to this question, but can you just help us maybe better understand from your perspective, and I guess this is for Tom and Rob, is just where you think we are in each of the kind of residential and commercial kind of spending cycle? Just a lot of moving pieces and obviously, I assume macro might have some impact on the broader cycle. So just again, not necessarily on a quarter-to-quarter basis, but where do you think we're going if we look out through the year and into 2026 just as it relates to the spending cycle on each kind of side of the relative business? I realize that's a big picture comment, but just looking for big picture feedback, please. Thank you.
Thomas Surran: Okay. I mean, this is Tom, Erik. In terms of the overall environment spending cycle, I guess, the thing that way that we think about it and look at it is to say what's going on in the housing market, that that impacts many of our segments, obviously, because we're so residentially focused on P&S. And I would say right now, we're still in a somewhat depressed condition because of the very low level of existing home sales, which creates a demand for fix and replace and remodel in preparation of a sale or post sale. So that is something that is the level of that it stays at fairly low levels. Currently, we're seeing about 4 million units sold of existing housing stock and more healthy number would be about 5 million. So, it's kind of a little bit depressed there. The overall general remodeling activity not related to home sales is pretty good. It's healthy. And then in the new home sales, I would say that's recovered to a reasonable level. So I would say, overall, we have more tailwinds behind us for that market to improve as we go forward than we do at any form of head.
Jay Geldmacher: I would add one thing for Tom on that too. And Tom mentioned it, Erik, in his comments. And we talk about almost every quarter just as an update to the business. But the overall content per new home for R&C has continued to increase and that ties to new products that Tom's coming up -- that Tom and P&S have come up with as well as what's nice is we've been able to gain additional business within that segment.
Robert Aarnes: Yes. So I'll put the stamp on this too. So Tom and Jay did a great job describing the macro environment. We don't see a lot change in the last six to twelve months. And obviously our residential audio video business, which is now primarily Snap would be the category that's affected with this macro environment. But I'm going to tell you, we took over the Snap business, right, there was a lot of there's some lot of work to do and we have approached this aggressively when it comes to integration around upgrading sales tools, right, commercial programs, really some great changes in the sales team and really getting this team laser focused on the things they can control, specifically around taking share. And that is what's most exciting to me as we are seeing that quarter-over-quarter with the Snap integration and the execution there, the cross-selling capabilities. So obviously, we can mitigate a lot of the soft macro environment, the residential space with the strength we're seeing in commercial. But I'm also very pleased with what I'm seeing from the Snap business and the aggressiveness by which they're taken to go out and take share and grow the business.
Erik Woodring: Awesome, guys. Thank you very much for the color and good luck.
Jay Geldmacher: Thank you.
Operator: Your next question comes from the line of Amit Daryanani with Evercore ISI. Your line is open.
Amit Daryanani: Hi. This is Hannah for Amit. Just curious, when the macro environment improves and housing turnover picks back up, how much leverage is there in the model on gross margins? And do you see these getting comfortably above 30% when the end markets do improve?
Michael Carlet: Hey, I think overall that we continue to think we have structural improvement opportunities on the P&S side to continue to grow gross margin. We're not going to specifically guide gross margin for the future, but we do think is regardless of the market conditions that are out there, as we continue to execute and control what we can control, we do think we see opportunities for ongoing gross margin, accretion, both from our structural improvements, the launch of new products. As Rob mentioned at ADI, some of the new product investments on exclusive brands and the things we're doing at ADI to drive hard. And so we are optimistic they will continue to see gross margin improvements, certainly for the next few years as we continue to execute without setting a specific goal out there or a specific number.
Jay Geldmacher: And I'd like to add that I agree with everything what Mike just said. We've also, as you know, we've demonstrated the type of gross margin expansion now for multiple quarters. And I think that's just a little bit of the proof of the pudding, but then what Mike said, I agree with.
Amit Daryanani: Okay. Thank you.
Operator: There are no further questions at this time. [Operator Closing Remarks].